Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Duke Realty Corporation. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Assistant Vice President of Investor Relations, Randy Henry. Please go ahead.
Randy Henry: Thank you, Nola. Good afternoon, everyone and welcome to our fourth quarter earnings call. Joining me today are Denny Oklak, Chairman and Chief Executive Officer; Christie Kelly, Executive Vice President and Chief Financial Officer; and Mark Denien, Chief Accounting Officer. Before we make our prepared remarks, let me remind you that the statements we make today are subject to certain risks and uncertainties that could cause actual results to differ materially from expectations. For more information about those risk factors, we would refer you to our 10-K that we have on file with the SEC. Now for our prepared statements, I’ll turn it over to Denny Oklak.
Denny Oklak: Thank you, Randy, and good afternoon everyone. Our solid operational and financial performance along with significant progress on our strategic plan to reposition our portfolio resulted in a successful 2010 for Duke Realty despite a still challenging economic environment. Our fourth quarter and year-end 2010 results were very strong and I believe a reflection of our commitment and ability to execute in all three areas of our strategic plan. We knew heading into 2010 that fundamentals in both the industrial and office sectors would still be challenging and progress would be our measured by our ability to execute transactions in the alignment with our strategy. We accomplished our goals by remaining focused on improving our portfolio occupancy, executing acquisitions and dispositions consistent with our asset strategy, and further strengthening our balance sheet to enable more productive transaction execution. I will highlight some of our key accomplishments during the quarter in both our asset and operation strategies and Christie will address our fourth quarter financial performance and progress on our capital strategy and finally, I would provide some color on our 2011 guidance. The industrial sector continued to gain traction in the fourth quarter of 2010. Initial data from the holiday retail season suggest 45% positive growth in sales and continued improvement in shipping metrics at major port locations in the US. We anticipate this bodes well for absorption in the industrial sector, but view that further improvement may be somewhat slower as retailers have now restocked inventory levels. As a result, our outlook remains conservative on the industrial sector. As I mentioned on our third quarter call that we anticipate some key vacancies in our industrial portfolio in the fourth quarter, while most of these terminations did occur, leasing activity was good as we signed over 4.6 million square feet of leases in our industrial portfolio in the fourth quarter and I am pleased that that portfolio remained over 90% leased at year-end 2010. The office environment is still slow to recover as questions over the timing and extent of a net economic recovery are still weighing heavily into decisions hire and grow new business. Our office teams performed very well despite the economic landscape as evidenced by our year end office occupancy of 85.7%, which was up 1.4% over year-end 2009. Now, I will touch on some of the key operating metrics and significant transactions in the fourth quarter. The overall occupancy in our portfolio was 89.1% at year end, up from 88.9% at September 30th and up 1.9% from year-end 2009 occupancy of 87.2%. We signed nearly 26 million square feet of leases in 2010, including 5.8 million square feet during the fourth quarter. Our 2010 total is the highest since 2007. We achieved a lease renewal rate of 70.1% and 76.5% for the fourth quarter and year ended 2010, respectively. Both our industrial and office teams did an excellent job in keeping existing tenants and closing on new leases. Specifically, our Indianapolis industrial group completed over 2 million square feet of leases during the fourth quarter and ended the year at 95.4% lease on 20.7 million square feet of industrial space. We also achieved positive net absorption across the business with significant lease at progress throughout the Midwest as well as the south and southeast markets. On the office side, while still slow, continues to show some signs of life. We leased over 85,000 square feet at our 1600 Tower in Minneapolis which is adjacent to our new and successful project, the West End. This retail success is drawing tenants to our office part and 1600 Tower is now 96% leased. We also executed a nearly 38,000 square foot expansion to an existing tenant in our Riverway East building in Chicago and signed renewal for approximately 70,000 square feet with GE in our Center Point office building in Cincinnati. As of December 31, our wholly owned development pipeline consisted of five medical office projects, totaling 270,000 square feet and two industrial buildings totaling 1.6 million square feet, one of which is a 1.3 million square foot, 100% preleased build-to-suit we announced in the third quarter. During the fourth quarter, the company committed to development projects on four medical office buildings and one bulk industrial project. The medical office projects total over 230,000 square feet and are 56% preleased in the aggregate. The industrial asset is located in Houston, it’s 300,000 square feet and 47% preleased. Our joint venture development pipeline is comprised of 460,000 square feet, 93% preleased medical office project with Baylor Health Care Systems in Dallas and a 406,000 square foot 100% industrial building expansion in Indianapolis. Consistent with our original expectation, same property NOI for the three and 12 months ended – for the three months ended December 31st was a positive 5% and for the 12 months ended, a positive 0.9%. We anticipated our same property growth to be strong in the latter half of 2010 after a slower first half of the year and we had surprises in our expectations there. Now I would like to touch on acquisition and disposition activity. During the fourth quarter and year-end 2010, as you know, our asset strategy is focused on the acquisition of high-quality industrial and medical office assets that meet our longer term strategic growth goals. In addition with this strategy – in accordance with this strategy, we acquired $440.5 million of assets totaling over 5 million square feet in the fourth quarter, bringing the total executed acquisitions to $919.1 million for the year ended 2010. During the fourth quarter, we closed on a portion of the previously announced acquisition of a primarily industrial portfolio in South Florida from Premier Commercial Realty. The $450 million portfolio is comprised of 51 industrial and 5 office buildings, totaling over 4.9 million square feet, of which approximately 3.4 million square feet were closed during December with the remaining portion expected to close in early 2011. This was a terrific transaction that gives a dominant industrial position in Broward and Palm Beach counties. The transaction is a very good example of our execution on our repositioning strategy on many levels. The seller’s knowledge of our local market presence and confidence in our team allowed us to negotiate an off-market deal. The assets are located in South Florida, once of the focus markets, because it’s a land-constraint market with high barrier to entry. All the assets are located along the I95 corridor, very accessible for both tenant needs and customers. And most of the assets were developed within the last 10 years and are strictly the best quality in the market. This is a great strategic transaction for Duke Realty. In Houston, we acquired three industrial assets, specifically located within port of Houston. The assets total over 582,000 square feet and are 100% leased and have an average age of approximately four years. On the medical office front, we acquired a 191,000 square foot medical office building in Charlotte, North Carolina. The building is a 100% leased to a single tenant on a 15-year lease which expires in 2020 and includes annual rent books. The other key part of our asset strategy focuses on the disposition of non-strategic assets in certain office buildings. Proceeds from fourth quarter building dispositions were $302.4 million at a stabilized capitalization rate of 80.1%. For the year ended 2010, total dispositions were $498.6 million at a stabilized cap rate of 8.5%. The fourth quarter dispositions included the following. As previously announced in December we closed on the sale of seven suburban office buildings totaling over 1 million square feet to our joint venture with CB Richard Ellis Realty Trust for a total proceeds of 174 million. The assets are primarily located in the Midwest. The total transaction with CBRT will be comprised of 20 suburban office assets, totaling nearly 3.1 million square feet at an aggregate agree upon value of 570 million. We expect to contribute the remaining 13 office buildings by the end of second quarter of 2011. This is another great transaction and expands our relationship with CBRE Realty Trust. The venture currently has total investment of over 630 million, comprised of both bulk industrial and suburban office assets. We have a 20% ownership interest and receive ongoing property management leasing and asset management fees. We also disposed of 533,000 square foot industrial building in Indianapolis which was sold to a user. The asset was not leased and was a developed in a joint venture in which the company has a 50% ownership interest. As some of you may have seen, we sold our 430,000 square foot build-to-suit office project located in Buffalo in New York and leased by HealthNow during the fourth quarter for 84.5 million. This project was always in our held-for-sale portfolio. I also want to point out some erroneous reporting pegging our investment in this property at a 126 million. This was incorrect was there were tax credits which offset a significant portion of the cost. We did make a profit on this sale. We also sold a 213,000 square feet VA clinic in Fort Worth, Texas. The asset was 100% leased for 20 years and placed into service in the fourth quarter of 2010. This asset was also developed as a held-for-sale building. We also received proceeds of nearly $35 million on the disposition of land parcels in 2010, including over $15 million in the fourth quarter. Our fourth quarter acquisition and disposition activity combined with the rest of the activity completed earlier 2010 has moved our investment concentration to 49% office, down from 55% at year-end 2009, 42% industrial, up from 36% at year-end 2009, and 6% medical and 3% retail. We have been very disciplined in the identification of acquisitions that meet our strategic criteria and timing those transactions with the projected receipt of disposition proceeds in an effort to minimize borrowings on our line of credit. The year-end transactions for Premier and CBRE Realty Trust exemplify this planning. We are aware of some concerns about the potential short-term dilution effect our repositioning strategy might have on our portfolio. However, if you look at our 2010 transactions in the aggregate, stabilized cap rate for acquisitions is 8% compared to a stabilized cap rate of 8.5% for dispositions, reflecting only minor dilution and repositioning has increased our concentration of investment in assets with greater long-term growth potential. We are continually assessing the effects on our bottom line FFO and AFFO from our asset repositioning and will continue to work to minimize the effects on earnings in the near term, while positioning our portfolio for greater future long-term growth. I’ll now turn the call over to Christie Kelly.
Christie Kelly: Thanks, Dennis, and good afternoon, everyone. As Denny mentioned, I would like to provide an update on our 2010 financial performance and progress on our capital strategy. I am pleased to report that our fourth quarter and year-end 2010 core FFO was $0.28 and $1.15 per share effectively. We had a very strong finish to the year, includes our 2010 core FFO at the high end of our 2010 guidance. As Denny mentioned, the economic environment continued to present challenges throughout the year. Our business team focused on the lease-up of our portfolio and was able to achieve over 12 million square feet of new leases and 40 million square feet of renewal leases, representing a 76.5% tenant retention rate, a negligible lease termination fees. Our strong leasing activity enabled us to offset rental rate roll-downs, travel-in [ph] across most markets and achieved slightly positive net operating income growth. Our service operations also produced strong results. From a capital strategic perspective, we completed a very successful year, in which we raised nearly $1.1 billion in capital comprised of 533 million of asset sale, 311 million from our common equity offering in June and 250 million from an unsecured debt offering in April. In addition to the acquisitions we closed this year, the proceeds were also used to retire a 100 million of debt in the first quarter, repurchased nearly 280 million of unsecured bonds throughout the year on the open market and through a tender offer, and repurchased over a 112 million of our Series O preferred stock on the open market over the course of the year. I would like to point out that our unsecured line of credit balance at year end of $175 million is a function of timing on asset dispositions closings. We had a solid backlog of assets set to be sold in the first quarter of 2011 and remain committed to utilizing our line of credit only for short-term financing needs. As results indicate 2011, we had a little over $400 million of maturities which we intend to manage through a combination of pay-downs of disposition proceeds as refinancing with long-term unsecured debt. I would like to point out that based on our capital plan in 2011, we will be able to use our unsecured line of credit to cover all our 2011 maturities in a worst-case scenario. I am very pleased with the execution by our teams. We accomplished a significant amount of work in 2010 after successful 2009. Since March of 2009, we have been successful in moving nearly a $1.5 billion of debt maturities out of 2010 and 2011, a very measurable progress and testament to our capital strategy. We are comfortable with our balance sheet and we have very manageable debt maturities in 2011 and 2012. We have seen stress in our unsecured debt tighten throughout 2010, a vote of confidence on our strategic plan and progress across the business thus far. With that, I’ll turn it back over to Denny.
Denny Oklak: I’ll now talk to some of the key performance metrics outlined on the 2011 range of estimates page we provided on our website. Our average portfolio occupancy range for 2011 is 87.5% to 90.5%. We have some known expirations in the first half of 2011, but our guidance assumes we average current occupancy levels over the course of the year. Same property NOI is projected at a range of 1% growth to a 3% decline. This performance is not surprising given 2010 results were driven by a much lower base in 2009 and that we still project rentable balance to factor into 2011 leasing activity. On the capital recycling front, we project proceeds from building dispositions in the range of $400 million to $600 million and proceeds from land dispositions of $20 million to $50 million. The building dispositions include approximately $275 million of remaining proceeds from the previously announced CBRE Realty Trust transaction which, again, we anticipate closing by mid-year. Acquisitions are projected in the range of $200 million to $400 million. We remain focused on high-quality industrial and medical office assets. The additional $173 million associated with the Premier transaction is included in the range. Construction and development starts are projected to be in the range of $200 million to $400 million. We expect medical office starts to comprise $75 million to $125 million of this range, with the remaining starts in our build-to-suit industrial projects and third-party construction. Total construction volume of between $600 million and $800 million. Our third-party construction is still a significant portion of this volume due primarily to the BRAC project, which has begun schedule [ph] to be completed in the third quarter of this year. Our G&A expense is in the range of $40 million to $45 million. We have streamlined our G&A over the past years and anticipate keeping the level at or below our 2010 amounts, AFFO payout ratio in the range of 85% to 100%. We continue to focus on the amount of capital expenditures required to keep our core portfolio leased. We believe that 2011 will be another challenging year for the US economy in many respects. That being said, we are pleased with our progress in 2010 and our momentum going into 2011. Our portfolio is well leased at 89% and our unstabilized assets, our modern buildings in the right locations that are ready to lease with little additional capital requirements as activity continues to pick up. We are on pace with our asset repositioning strategy. Dispositions are on track with expectations, so we have a nice backlog of commitments lined up. We will continue to pursue acquisitions that we believe will provide long-term value creation to our already strong portfolio. Our balance sheet is strong with 2011 maturities staggered throughout the year and very manageable. As part of our capital strategy, we will continue to pursue the leveraging opportunities and improve our key ratios and metrics. So, thank you again for your support in 2010 and for joining us today. And with that, we will open it up for questions. I’ll now talk to some of the key performance metrics outlined on the 2011 range of estimates page we provided on our website. Our average portfolio occupancy range for 2011 is 87.5% to 90.5%. We have some known expirations in the first half of 2011, but our guidance assumes we average current occupancy levels over the course of the year. Same property NOI is projected at a range of 1% growth to a 3% decline. This performance is not surprising given 2010 results were driven by a much lower base in 2009 and that we still project rentable balance to factor into 2011 leasing activity. On the capital recycling front, we project proceeds from building dispositions in the range of $400 million to $600 million and proceeds from land dispositions of $20 million to $50 million. The building dispositions include approximately $275 million of remaining proceeds from the previously announced CBRE Realty Trust transaction which, again, we anticipate closing by mid-year. Acquisitions are projected in the range of $200 million to $400 million. We remain focused on high-quality industrial and medical office assets. The additional $173 million associated with the Premier transaction is included in the range. Construction and development starts are projected to be in the range of $200 million to $400 million. We expect medical office starts to comprise $75 million to $125 million of this range, with the remaining starts in our build-to-suit industrial projects and third-party construction. Total construction volume of between $600 million and $800 million. Our third-party construction is still a significant portion of this volume due primarily to the BRAC project, which has begun schedule [ph] to be completed in the third quarter of this year. Our G&A expense is in the range of $40 million to $45 million. We have streamlined our G&A over the past years and anticipate keeping the level at or below our 2010 amounts, AFFO payout ratio in the range of 85% to 100%. We continue to focus on the amount of capital expenditures required to keep our core portfolio leased. We believe that 2011 will be another challenging year for the US economy in many respects. That being said, we are pleased with our progress in 2010 and our momentum going into 2011. Our portfolio is well leased at 89% and our unstabilized assets, our modern buildings in the right locations that are ready to lease with little additional capital requirements as activity continues to pick up. We are on pace with our asset repositioning strategy. Dispositions are on track with expectations, so we have a nice backlog of commitments lined up. We will continue to pursue acquisitions that we believe will provide long-term value creation to our already strong portfolio. Our balance sheet is strong with 2011 maturities staggered throughout the year and very manageable. As part of our capital strategy, we will continue to pursue the leveraging opportunities and improve our key ratios and metrics. So, thank you again for your support in 2010 and for joining us today. And with that, we will open it up for questions. I’ll now talk to some of the key performance metrics outlined on the 2011 range of estimates page we provided on our website. Our average portfolio occupancy range for 2011 is 87.5% to 90.5%. We have some known expirations in the first half of 2011, but our guidance assumes we average current occupancy levels over the course of the year. Same property NOI is projected at a range of 1% growth to a 3% decline. This performance is not surprising given 2010 results were driven by a much lower base in 2009 and that we still project rentable balance to factor into 2011 leasing activity. On the capital recycling front, we project proceeds from building dispositions in the range of $400 million to $600 million and proceeds from land dispositions of $20 million to $50 million. The building dispositions include approximately $275 million of remaining proceeds from the previously announced CBRE Realty Trust transaction which, again, we anticipate closing by mid-year. Acquisitions are projected in the range of $200 million to $400 million. We remain focused on high-quality industrial and medical office assets. The additional $173 million associated with the Premier transaction is included in the range. Construction and development starts are projected to be in the range of $200 million to $400 million. We expect medical office starts to comprise $75 million to $125 million of this range, with the remaining starts in our build-to-suit industrial projects and third-party construction. Total construction volume of between $600 million and $800 million. Our third-party construction is still a significant portion of this volume due primarily to the BRAC project, which has begun schedule [ph] to be completed in the third quarter of this year. Our G&A expense is in the range of $40 million to $45 million. We have streamlined our G&A over the past years and anticipate keeping the level at or below our 2010 amounts, AFFO payout ratio in the range of 85% to 100%. We continue to focus on the amount of capital expenditures required to keep our core portfolio leased. We believe that 2011 will be another challenging year for the US economy in many respects. That being said, we are pleased with our progress in 2010 and our momentum going into 2011. Our portfolio is well leased at 89% and our unstabilized assets, our modern buildings in the right locations that are ready to lease with little additional capital requirements as activity continues to pick up. We are on pace with our asset repositioning strategy. Dispositions are on track with expectations, so we have a nice backlog of commitments lined up. We will continue to pursue acquisitions that we believe will provide long-term value creation to our already strong portfolio. Our balance sheet is strong with 2011 maturities staggered throughout the year and very manageable. As part of our capital strategy, we will continue to pursue the leveraging opportunities and improve our key ratios and metrics. So, thank you again for your support in 2010 and for joining us today. And with that, we will open it up for questions.
Operator: Our first question is from Chris Caton at Morgan Stanley. Please go ahead.
Chris Caton – Morgan Stanley:
Denny Oklak: Well, once again, I think that when you look at our same store, as I mentioned in my comments, the office business is still struggling a little bit. I said last quarter that I was really pleased with our results on the office side, in the third quarter it picked up, we picked up some occupancy, and we kind of held even in the fourth quarter. But what we are seeing is, we are seeing continued pressure on the rental rates. We’ve seen, as indicated in our supplemental packages, then some continued roll-down on the net effective rents and that is having some pressure, downward pressure on the same store occupancy also.
Chris Caton – Morgan Stanley: And I guess, I was hoping you could kind of reconcile with on page 20 in the sub. I guess a lot of the NOI, same store NOI growth would be coming through the extra [ph] savings, is that what we are seeing here?
Denny Oklak: That’s correct. For the fourth quarter, that is correct.
Chris Caton – Morgan Stanley: And is there something specific you play there where you’re able to achieve the tax savings or something specifically (inaudible).
Denny Oklak: Yes, most of that is in the real estate tax area, the savings. We’ve seen – we’ve been able to aggressively pursue some of the assessments on a number of our buildings and I would say particularly on the office side. As you look through our portfolio, we’ve had some really good success really across the board across all of our markets at getting some of the assessments reduced which is resulted in some lower real estate tax expenses.
Chris Caton – Morgan Stanley: Thank you.
Operator: Thank you. Our next question is from Michael Bilerman at Citi. Please go ahead.
Josh Attie – Citi: Hi, it’s Josh Attie with Michael. Can you remind us what your leverage targets are for the company and I just would like to get there and over what period of time?
Christie Kelly: Sure, Josh. Typically, when we take a look at our longer-term goals, we are looking at overall leverage metrics, what we define as debt to growth assets to be in the 45% range. We are looking at debt plus preferred plus to growth assets to be in the 45% range. We are looking at debt plus preferred to growth assets to be around 50% or so, given it’s now 800 million that we have in preferred after our buyback. And in terms of timing, we are looking at for that to coincide with our long-term asset and operation strategy which will take us through the 2013 time period.
Michael Bilerman – Citi: And Christie, Michael Bilerman speaking, you obviously have the he ATM in place and as much as you guys told the market last year, you're not going to use it, people were still skeptical of that and clearly when the transaction – the Premier transaction was out in the marketplace prior to announcing, a lot of people thought you’d have to raise equity or sell assets. I guess now that that's been done, the stock has obviously rebounded, how do you think about the ATM at these levels as a source of deleveraging and how do you expect to use that tool that you put in place?
Christie Kelly: Yes, I think, Michael, thanks. Specifically, the ATM is, as I mentioned before, is solely for opportunistic repurchases, it is very, very small. It's $150 million in terms of sizing and we did that just based on our average daily trading volume in terms of just having another quiver available in our capital strategy, but specifically where we are today, we're still undervalued.
Michael Bilerman – Citi: Can you also talk about the investment landscape and what your acquisition pipeline looks like on industrial and medical office?
Denny Oklak: Sure, I'll touch on that, Josh. Yes, we just had so many big transactions that we were working on and closed really late in the year. The pipeline is down a little bit right now, but it’s – on the industrial side, today, we have a number of smaller portfolios or single tenant industrial buildings that are really actually in process in the markets that we are targeting. The medical office business is pretty much the same, there is a few mostly small portfolios that we’re looking at and talking to people about today. But I think it’s – if you look at our guidance, we're at this point in time not projecting what I would call a bang-out year like we had in 2010, but we'll keep looking. And I think there is probably a pretty good opportunity in 2011 that we will see if some, at least, larger industrial portfolios come out, which we’ll certainly monitor and track and make sure that they are the quality and in the geographic locations that we want to be in. So, hopefully, we'll also see some of those this year.
Michael Bilerman – Citi: Okay. Thanks a lot.
Operator: Our next question is from Sloan Bohlen with Goldman Sachs. Please go ahead.
Sloan Bohlen – Goldman Sachs:
Denny Oklak: Well, first of all, Sloan, I'd like to think that our stock is up on our performance, as I believe it is, because last – when I looked before we got on the call, I think we were up a little bit more than both of those companies, at least looking today. So it’s – I don't think that transaction really changes our outlook on anything, that potential transaction I should say it appears, but it's in the potential stage now. We are still working our way through our strategy. When we rolled this specific strategy out a little over a year ago now, we were very clear that this would – that we were going to give us time to execute on this. It wasn't going to happen overnight and it takes the time. We clearly could have gone out and brought a lot more industrial this year. We saw, we looked at a lot more than we actually bought, but we are very focused on the specific time and location of properties we want to own. So I think we’ve been very selective and really have ended up with tremendous portfolio on the acquisition side. And I think we will continue to do that. We’ve said that this is going to take a little bit out to 2013 and we will execute as we go. I think one area we are very pleased on obviously is with the CBRE transaction that we closed about a third – I guess in the third or fourth quarter. We think that's a great indication when you look at the value of those properties, a great indication of the value of our overall office portfolio. And so, we also are seeing a little bit more interest on the investment side, on the office – in the office business today and we’ve started to see a few lenders come out and enter the suburban office space which I think bodes well for what we're trying to accomplish on that side.
Sloan Bohlen – Goldman Sachs: Okay. And then, maybe for Christie, just a couple of housekeeping items. What was the tick-up in building improvements in the quarter?
Christie Kelly: It's specifically just timing, Sloan.
Sloan Bohlen – Goldman Sachs: And then just for the year, for 2011, could you guys maybe kind of give us a gauge for what you're expecting for CapEx, specifically I guess for the TIs on the lease side [ph].
Christie Kelly: Yes, in alignment with what we executed on for 2010. So, no surprises there.
Sloan Bohlen – Goldman Sachs: And then maybe Denny, I think a couple of us have tried to ask in different ways, but could you maybe give us just a sense of what your mark to market is on the office and industrial portfolios as we think about rent spreads for the next year? And then, I guess as a secondary question there, are there some markets where you're seeing rents firm a little bit more quickly than others, or just in general, are things kind of still a little bit, I don't want to say weak, but improving I guess?
Denny Oklak: But in most of the other markets, and particularly on the office side, those rents are rolling down. The industrial rents, I think are starting to firm up a little bit. And as you look back on 2010, we finally had three quarters in a row, the last three quarters of 2010, where globally we had positive net absorption in the industrial business on a national basis, and that was after like six quarters in a row of negative absorption. So, one of the things that I think was very positive about 2010 is in most of the markets, a lot of the bigger blocks of space got taken up. So, we're seeing on the bigger blocks of space now some tightness in a lot more of the markets than we were seeing a year ago. And usually when that happens, I think you start to see some upward pressure on the rental rates. So my sense is that industrial rates are going to sort of firm up here this year. I wouldn't anticipate much in a way of rental rate growth anywhere on industrial though before the first part of next year.
Sloan Bohlen – Goldman Sachs: Okay. Very helpful. Thank you, guys.
Denny Oklak: Thanks.
Operator: Thank you. And our next question is from Paul Adornato from BMO Capital Markets. Please go ahead.
Paul Adornato – BMO Capital Markets:
Denny Oklak: Sure, Paul. I'll be happy to do that. I will tell you that that portfolio of properties that we contributed is extremely reflective of the rest of our office portfolio, with the exception of a small piece which we've been telling you for a while now is our targeted disposition list that we are working our way through. In that targeted disposition list, there is a group of assets that are really of a little bit lower quality and those include like some of those remaining Cleveland assets we would consider a little lower, a few older properties really mostly in Cincinnati and maybe Chicago. And those are a minor piece of our overall office portfolio, and I'm saying less than 10% of our overall office portfolio. So, 90% of our office portfolio is, I think, very reflective of that transaction that we did. Now that portfolio was a little bit higher leased overall than our – than average office portfolio occupancy and the primary reason for that is that's really what CBRE Realty Trust is looking for. They are the private REIT, they want higher occupancy. There are a number of multi-tenant buildings included in this, which we think is good and a good reflection of the assets that we have. But they are not really looking to take the lease-up risk. So, that portfolio that we work through with them legible [ph] higher occupied. I would also say that those targeted disposition assets I mentioned are a little bit on the lower side, so pull the overall average down. But again, when you look at 90% of the remaining office portfolio, same kind of product, at least, equal to what the CBRT JV is acquiring. And it may – it might be a little bit less occupied today, but that doesn't mean it's worst product. It means it just has some lease-up and it will get leased up as things go. So I know there has been some concern, Paul, on this, but I think that transaction is very reflective of the value of our office portfolio today.
Paul Adornato – BMO Capital Markets: Okay. Thank you. And what about rollovers, are there – are all the long-term leases in the JV?
Denny Oklak: No, no, not all long-term leases. We’ve got long-term leases in other places and not all of the properties that went in there have long-term leases on them. A number of them, as I said, they're multi-tenant with staggered lease expirations.
Christie Kelly: So, just in summary, Paul, I mean, we looked at it on each key aspect in terms of what we were looking to contribute to the venture and that included, as Denny had said, lease rollover. We looked at the average age of the building; we looked at the NOI composition over the short term and the long term; we looked at the average size of the buildings; we looked at the number of tenants in the buildings; we looked at the average lease term in the buildings and then further to that, we looked at the average lease size. So on every attribute, we were very cognizant of what we viewed was the right properties to contribute versus what were the right properties to retain based on the longer-term growth prospect of our business.
Paul Adornato – BMO Capital Markets: Okay. Thank you very much.
Operator: Thank you. And next we have Jamie Feldman with Bank of America Merrill Lynch. Please go ahead.
Jamie Feldman – Bank of America Merrill Lynch: Thank you. Denny, I was hoping to get your thoughts on what you – AMB-ProLogis merger, what the impact would be on the US warehouse business in general?
Denny Oklak: Yes, I’ll give you my thoughts as they are today. I don't really see a significant impact to be quite honest with you, Jamie. I think there's a couple of reasons that I would say that. One is – I guess, first of all, both of those two companies have obviously fairly significant US industrial presence, but they really have been focused internationally for a number of years now. And we really don't run into either one of those folks all that much and really very little quite honestly in most of our markets. And I think in – again, they do have a larger concentration in Southern California which we don't have a presence in. So I have a little bit more trouble speaking to that market, which is obviously a big distribution market. But we're pretty much in all the major distribution markets outside of that around the country. And I don't see that it has a major influence on us. The other thing is, they have – I think one of the other things if you look at is, in recent, ProLogis strategy in the last couple of years, they sold a lot of their domestic assets, including the recent transaction with Blackstone and the transaction they completed probably about a year ago, or maybe it's longer than that now with Stockbridge and the Texas Teachers. So, they actually sold a lot of their domestic assets. So, they’ve downsized quite a bit and have focused more internationally. So, again, I think when you look at it, we're always running head to head with a lot of other folks. Typically, we've probably had more competition from some of the larger private developers and some of those other names that you know out there in a lot of our markets. So, obviously they will be a very big company and I think they’ll – in certain ways they may be formidable I guess, but I just can't see that it is really going to have that significant effect on us, but we wish them well.
Jamie Feldman – Bank of America Merrill Lynch:
Denny Oklak: Yes, we have one for sure that we know is in – down in Atlanta. We have Clorox in 600,000 square feet. They've given us a termination note as they are going to terminate in May, they have that provision in their lease. They actually are relocating to a build-to-suit down there done by somebody else, not ProLogis or AMB, and so that 600,000 coming at us in May. We actually have an 800,000 square foot leased down in Savannah that expires at the end of February with a tenant that we do not know yet whether that tenant is going to renew. There is a possibility. So, I mean, even when you just look at those two transactions, that's 1.4 million square feet and that's 1% of the portfolio. So, two big leases can have a significant effect when we to go overall average occupancy. Now, the thing I think you need to keep in mind though is generally speaking, the bigger square footage lease have an effect on our occupancy on the industrial side because they are bigger, but less of an effect on our overall FFO cash flow, because the rent is less than office building. So, we factored that into the guidance on each of these pieces, but again, I think there is going to be some pressure on that occupancy. We just have a number of others. We already had one termination of about 450,000 square feet down in Atlanta that occurred in January. So, I think the rest of them are a number of those in the 400,000 to 600,000 square foot range and they are just kind of spread around the system. So, the key is really going to be how quickly we backfill those folks that we know are going out and the market is certainly better and it's improving, but it’s – an overall improving market has sometimes – it's still hard to tell on any specific space what the effect is going to be.
Jamie Feldman – Bank of America Merrill Lynch: Okay, thanks. And then, finally, talking to brokers lately, it sounds like there are developers out there thinking about starting up development again, what are your thoughts on when Duke would start to think about that in select markets?
Denny Oklak: Well, I haven't heard of anybody. I would like to. I talked to those brokers, but I really haven't heard of anybody thinking about it yet, to be honest with you, clearly not on the office side, I don't think anywhere on the industrial side. I think maybe in a couple markets like, I think we mentioned, Houston has been a very good market. And if you look at the vacancy statistics in Houston, it was under 7%, I think, towards the end of last year. So, we actually did start a building and it's partially pre-leased, it's a little under 50% preleased and it's not a huge building, it’s 300,000 square feet. So in that market, we’ve got that building under construction and feel very comfortable with it. Sitting here today, there aren't really, I don't think, any other markets where we – sitting here today that I would say we are even considering starting any spec projects on the industrial or office side. Hopefully, we'll see some more built-to-suits. We got a nice built-to-suit over in Columbus this year. But if you look at it, I think it's interesting. I saw a statistic today that there was only 17 million square feet of new industrial space started in 2010, I believe is what I read. And so that is really unbelievably low and if we look at it, we started about 1.6 million square feet of that. And so, I think we are cautiously optimistic that we may see a few more built-to-suit opportunities heading into 2011, because again a lot of the larger spaces have been taken now. And if a tenant needs to have a bigger space, it may not be available. But I still think on the spec basis, I would be very surprised if we see anybody start anything in the first half of this year.
Jamie Feldman – Bank of America Merrill Lynch: Okay. Thank you.
Operator: Thank you. The next question is from Brendan Maiorana at Wells Fargo. Please go ahead.
Brendan Maiorana – Wells Fargo:
Denny Oklak: When you look at the fourth quarter, it was that one industrial building in Houston that I mentioned, plus several medical office buildings. And we are typically getting yields on the medical office buildings starting kind of in that mid-eight to low-nine range with very nice bumps, typically the pre-leasing activity that we have in there are at least ten-year leases, sometimes as long as 15. We are – as you can see, I think those were 56% pre-lease, so there's a little bit of lease-up in there, but again, those are all pretty much on campus, medical office buildings are doing well. Looking at the project we did in Houston, we're very pleased with the yield on that, that one is kind of in the mid to high eights on a nice industrial building in Houston and not a whole lot of risk, 47% pre-leased and actually, I think we're close on about half of the remaining building – remaining space in the building. And so I think that one's going to move along pretty quickly. We're very pleased when we signed the big build-to-suit over in Columbus in about August I think. We had a nice yield on that, starting in the mid-to-high eights and again, with some rent growths and a long-term lease. So I think if people – if there is development opportunities today, the yields are pretty good out there. And so, we're going to continue to focus and look for opportunities.
Brendan Maiorana – Wells Fargo: I guess maybe what I am just trying to drive at a little bit is, you've got a long-term repositioning strategy that I think a lot of people think makes sense and I would agree with, but you've got acquisitions today which are pretty competitive and yield seems relatively low and you're making these very long-term asset allocation decisions. But it seems like maybe if you guys waited a couple of years and the development market came back a little bit, you could develop to higher yields in just a couple of years than buying stuff today, which might give you a little bit more near-term dilution as you sold assets today and weren't able to redeploy the capital into development longer, but I’m just – I guess maybe I am just interested in why buy today as opposed to wait until the market comes back and develop maybe in a year or two?
Denny Oklak: Well, first of all, we want to get this repositioning done as quickly as we can, because we think that's the right thing to do long-term and we can’t – we couldn't do that all through development. It’s just not – with the development levels we see for the next three to five years, I just don't think we could do that. I will say three years, because five years I can't predict. The next three years, we don't think we could do that. And again, going back to my point that, we aren't really looking at it as an acquisition strategy, it's a disposition acquisition strategy. So, we are also selling, you are right that their pricing is pretty competitive on some of the industrial assets and some of the medical office assets, but we also think we are getting really nice pricing on the non-strategic and suburban office assets that we are selling today too. So I think that's the way we look at it. And then, the other thing I would point out is, I mentioned, we looked at lot of assets that we didn't buy last year, because it just didn't really fit into the strategy or we got outbid on the pricing. So, we looked at a lot more assets and bid on more assets than we actually got. So we are being, I think, very diligent in the process here and ending up. But I think when you look at our two major transactions in 2010, they were both big off-market deals and we are able to do that because of who we are, really in our contacts within the industry, people know us, people trust us, we've got great credibility, and the market knows what we were looking for. We made it very clear, so not only you all on the call as investors, but all the real estate community out there knows what we are looking for. So we find those opportunities and the bulk of the acquisitions we did last year was really off market, so we are pleased with that.
Brendan Maiorana – Wells Fargo:
Denny Oklak: Well, I think if you actually look at the occupancy level of – on average to where we ended up in 2010 and where our average guidance is for 2011, there is not a whole lot of occupancy improvement in that, it's just a little bit. So on average, we ended up quite a bit better than we thought in 2010 and so, now we're saying we can hold that, do some upfront, get it back later in the year, but on average, stay about the same. I think the other thing when you look at it is, we count same store with NOI. So you got – it's not all driven by occupancy, because you got free rent factored into almost every deal you do today, so some of that free rent was burning off and we were starting to get NOI from those properties in 2010. Now heading into 2011, that free rent is gone which is good, so we're getting the cash, but we don't have as much burning off as we did in 2010, and so that burn-off has a greater impact on the increase. So we're starting from a higher base is really the bottom line. And then also, as we said, we're factoring in some more negative rent spreads heading into 2011. Again, I think in that 0% to 5% range is probably where we're going to end up the year kind of on an average basis, maybe a little bit worse on the office side, a little bit better on the industrial side.
Brendan Maiorana – Wells Fargo:
Denny Oklak: So looking into 2011, I think we are going to – we still have quite a ways to go, even though we're going to finish in September, we got quite a ways to go on that BRAC project and a pretty significant volume this year. So, I think we're going to have fairly consistent FFO from service operations this year as we basically said. Going forward, I think when you look at it, you're right, Brendan, we typically were in the range of probably $15 million to $25 million to maybe $30 million. It is a little bit volatile, that's why we don't want it to be a big piece of our business. But I think as we head off into 2012, you can expect it to be down into that $15 million to $30 million range again depending on what kind of projects we lay in and another big driver of that is if we do projects on our own land, we generally have higher margins in there. So – but I think a normal run rate is going to be in that $15 million to $30 million range long-term.
Brendan Maiorana – Wells Fargo: Okay. That’s helpful. Thank you.
Operator: Thank you. And our next question is from Michael Knott at Green Street Advisors. Please go ahead.
Michael Knott – Green Street Advisors: Denny and Christie, on the repositioning metrics you gave, can you just remind us if that's – if you would look at NOI or undepreciated book value and then also if that's a pro rata figure?
Denny Oklak: Yes, it's pro rata and we're looking at, I mean, basically it's – they're pretty closer to same Michael, undepreciated book value and then NOI metrics. So, we are – I would tell you we're going to make sure sort of the NOI gets there, that's really what we're looking at. I think it will get there.
Michael Knott – Green Street Advisors:
Christie Kelly: Michael, it's really just in terms of the capital strategy focus, it's really both. I mean, it really depends on what opportunities present themselves in the market. We're going to remain focused on deleveraging as it makes sense, but then also executing our capital strategy in alignment with our asset strategy as we've been doing.
Denny Oklak:
Christie Kelly: That's right; it's all about lease-up on that front.
Denny Oklak: And then looking back at the asset strategy, actually we haven't really re-run that schedule yet, we'll be doing it here shortly to see exactly where we are to get to those 60% industrial, about 25% suburban, and about 15% medical office. But I think we're probably now, if you look at where we are, we probably got about $500 million to $700 million of increase in medical office to get us from the 6% to the 15%. And then, we probably have about another $1 billion or so to $1.2 billion of kind of flip-flop between office and industrial, and then I think we will – we would be at those numbers. So, when you think about it, we accomplished about $1 billion last year of repositioning, selling office and buying industrial. And so, if we could do that again this year which again we're not putting in our guidance, but if we could do that again this year then we would be just about done.
Michael Knott – Green Street Advisors:
Denny Oklak: Yes, I think it is bringing the average down. It's probably – I would say that if you back out that 5% or 10%, we're probably about 88%, 89% leased. And in today's world or in a normal world, maybe not quite as much today, but if you are 89% leased, when you sell the, buyer is going to pay you a value of 95% roughly leased, but they are going to ding you a little bit for the cost it takes you to get 95% leased. So I still think today if you are selling – even if I am selling an 88% or 89% or 90% leased building, my valuation is not going to be that far off from where we sold those buildings that were on average 95% leased.
Michael Knott – Green Street Advisors: And you're talking about not that far off from a price per pound and a cap rate, or maybe just a cap rate but not necessarily a price per pound?
Denny Oklak: I’m talking both.
Christie Kelly: Both.
Denny Oklak: Yes.
Michael Knott – Green Street Advisors: And then last question is just on the land bank. Obviously, you have a pretty sizable land bank and I think the disclosure has been skinned [ph] down. How should we think about evaluating what that land bank is worth today? Obviously, you're not developing a lot at the current time and without sort of knowing what all is in there today, how should we think about evaluating that?
Denny Oklak: Well, I think if you go back to a little over a year ago, I guess third quarter of '09 when we did – we did take an impairment charge on that land. We took about a 25% to 30% impairment charge on about 30% of land that we said we were going to sell. So far we – since that time, we've probably sold 15%, 20% of that land and we've sold it at or above those impaired value. So I think on that parcel of land, it was about $250 million, now it's down to probably around $200 million or so. I think that's fairly valued, because we took the impairment charge. And then the better stuff is what we didn't take the impairment charge on and we want to hold long-term. So again, I'm very comfortable with the valuation that what we're carrying at on our book. So to me, I think if you really look at our land bank, we obviously haven't taken any more impairment, so we’ve got no issues with the valuation we're carrying on our book. So that to me is the right number to look at.
Michael Knott – Green Street Advisors: Thank you.
Christie Kelly: Thanks, Michael.
Operator: And the next question is from Dave Rodgers with RBC Capital Markets. Please go ahead.
Dave Rodgers – RBC Capital Markets: Good afternoon. I got on the call late, but Denny – so I don't want to put words in your mouth. It sounded like what you said at the very beginning of your prepared comments was that industrial leasing had a pretty decent year last year, you expected maybe a little bit of a slowdown this year on inflection due to some retail inventory restocking, but you also talked about rate continuing to get better throughout the year. So I guess what I just wanted to make sure that I understood the directionality and the inflection that you were talking about and actually, have you seen a slowdown in your industrial leasing business over the past three to six months?
Denny Oklak: Sure, Dave, I can answer that. Yes, I just think what we really saw starting in about late third quarter, early fourth quarter of '09, particularly through I would say the end of the third quarter 2010, was really pretty significant leasing activity in the industrial business, pretty significant net absorption, didn’t show up nationally until second quarter last year, but we were feeling it in the sort of fourth quarter of the year of 2009. And that was because the retailers were coming off such low inventory levels after the '08 Christmas season and all of the things that were going on in '09 that they really had to restock pretty significantly. And I think my sense is that when you look at where we ended up at the end of 2010 that most of those retailers had gotten back to a level on the inventory side that was going to be fairly stable for a while. They have picked up a lot of the downsides, and now from here on now it's going to be – growth in their business will also, I think, lead to growth in their inventory. Obviously and I think the rate of absorption we saw from sort of fourth quarter '09 through fourth quarter 2010 is probably going to slow a little bit. I think we'll still have some growth. In our business, I would say it hasn't slowed a whole lot. It actually was very good in the fourth quarter when you think about all the leasing activity we did $5.8 million. And just looking forward, I just think that rate of growth is going to slow some. And then also as I said, I think the rental rates are going to stabilize in most markets, either are stabilized or will be stabilizing here in the next few months, but I still think there's not going to be a lot of upward pressure on industrial rental rates through most of this year, could be a couple of exceptions in a couple of markets, but most markets, I don't think we are going to see a lot of upward pressure on the rental rates. Does that help?
Dave Rodgers – RBC Capital Markets:
Denny Oklak:
Christie Kelly:
Dave Rodgers – RBC Capital Markets: Okay. Thank you.
Operator: And the next question is from Ki Bin Kim from Macquarie. Please go ahead.
Ki Bin Kim – Macquarie:
Denny Oklak: Well, Ki Bin, I think all of our space is always under some kind of negotiation, but when I look at the lease expiration schedule, we've got about 10% of our portfolio overall, including JV rolling in 2010. I would say the expiration rate on the industrial is a little bit higher than the office heading into next year, because we've got some larger spaces as we keep talking about. Again, it's just so hard to answer that specific question, Ki Bin, because that it’s kind of spread all across the system. But we've got pretty good activity, one of the things we do is we have a report that we go over at least monthly with all of our city leaders or business unit heads and we go through their top five vacant spaces which – the top five vacant spaces actually is about 75% of our overall vacancy within the Company, 70% to 75%, so we're covering specifically 70% of our vacancy at least once a month. And for the most part there is decent activity on most of the spaces. There is a handful where we just don't have any activity right now, but I would tell you the level today is actually pretty good comparatively speaking, historically. It really was pretty solid, really solid heading into the fourth quarter, and again we had a good solid leasing quarter. And then, as typical when you get into January, everybody takes a deep breath because they just try to get everything closed before year end. I also think January appears to me to be a little bit slow because we've seen to have had a lot of weather issues all around the country, Atlanta was closed for a week here in January basically. So I think it has been a little bit slow, but I think there is still decent activity out there.
Ki Bin Kim – Macquarie: Could you expand on that a little bit more? I know it's only a one month into this new quarter, but how does it compare in terms of like traffic and I guess just general sentiment out there versus last year?
Denny Oklak: I would say it's very comparable. It may be up just a little bit from the first quarter of last year, January of last year, but again, it's just sort of a space-by-space analysis for us today. So, it’s – I don’t – I am not seeing anything that causes me any concern.
Ki Bin Kim – Macquarie: Okay. And just going back to the couple of big spaces that are in Atlanta, and I think you said Savannah that are coming due, have you had a lot of interest in those spaces, or are those the two spaces that you've had no kind of interest in?
Denny Oklak: I would say we got pretty good interest in – we've got a couple of spaces, bigger spaces in Atlanta and we've got pretty good interest. We haven't had a lot of discussion of this Savannah one, because we do not know whether the tenant is going to remain in there yet and so there hasn't been a lot of discussion on that one right now quite honestly.
Ki Bin Kim – Macquarie:
Denny Oklak: Well – no, I don't think we said a big piece was for real estate taxes. Some of that revenue increase in the office side was from lower – are from real estate tax adjustments. But I think most of our same store was driven last year by occupancy increases, really. Again, occupancy increases that burn off of free rent were the biggest factors driving 2010 NOI growth. But just getting back to your question, I think we still got a fairly long way to go on the real estate tax side. I mean, I think we made some really good progress in the second half of last year, really had our team focused on it. We have an in-house real estate tax group that's very experienced that has been doing this for a long time and we were very successful last year which is obviously not surprising when you think about what values have done over sort of 2008 and 2009 and how those real estate tax cycles work. So I think we can see some more good progress this year and we’ve got a few more places to work through.
Ki Bin Kim – Macquarie: If you could, can you kind of put some numbers around that if the total goal was to kind of reassess a 100% of your portfolio and getting tax assessments, how much has that – how much of that have you completed in 2010 or up to 2010? And you guys, same kind of example, how much do you think you would reasonably get to in 2011?
Denny Oklak: Yes, I think there is probably about, I would guess 30% to 35% of our portfolio to go and I think we'll get to most of that this year.
Ki Bin Kim – Macquarie: All right. Perfect. Thank you.
Christie Kelly: Thanks, Ki Bin.
Operator: And our last question is from Vincent Chao with Deutsche Bank. Please go ahead.
Vincent Chao – Deutsche Bank: Hey, guys, my questions have actually been answered thanks.
Christie Kelly: Thanks, Vincent.
Operator: There are no further questions.
Randy Henry: I'd like to thank everyone for joining the call today. Our first quarter earnings call is tentatively scheduled for April 28. Thank you.
Operator: That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.